Masaru Yokota: Good morning and welcome to the Dentsu Group 2022 First Half Earnings Call. My name is Yokota from Dentsu Group’s IR team. Please be aware, today’s call is being recorded. This call is simultaneously held in Japanese and English. Please choose your language from the bottom of the Zoom screen. Please make sure the original voice is always on. For those joining on the telephone line you can listen the original voice only. Today’s presentation materials are provided on the Dentsu Group’s IR website. Joining me today are CEO, Dentsu Group, Hiroshi Igarashi.
Hiroshi Igarashi: [Foreign Language]
Masaru Yokota: CFO Dentsu Group, Yushin Soga.
Yushin Soga: [Foreign Language]
Masaru Yokota: CEO Dentsu Japan Network, Norihiro Kuretani.
Norihiro Kuretani: [Foreign Language]
Masaru Yokota: CEO, Dentsu International, Wendy Clark.
Wendy Clark: Hello, everyone. This is Wendy Clark.
Masaru Yokota: CFO, Dentsu International, Nick Priday.
Nick Priday: Hi, everyone. This is Nick Priday.
Masaru Yokota: The agenda for today will start from Hiroshi Igarashi with a business update and from Yushin Soga with a financial update, followed by a strategic update from Hiroshi Igarashi. After that, we will invite you to ask questions. Mr. Igarashi, please go ahead.
Hiroshi Igarashi: Thank you. This is Igarashi, CEO of Dentsu Group. I’m going to give the updates on our business from the first half of 2022. The group’s strong performance continued into the second quarter as we reported over 8% organic growth. Our operating margin rose to 13.9%, driven by 120 basis points operating margin improvement as our business simplification and cost reduction efforts continue to deliver results. Our strategy of growing our revenues in the fast growth area of our industry, customer transformation and technology brings a number of benefits to the group, transforming our client offers and revenue profile and our cost structure. We retain our ambition of generating 50% of our net revenues from this structural growth area as we shift our business to a hybrid agency consultancy. I am pleased to report at the first half stage, 32.3% of our revenues were generated from this area, which grew 22.5%. It has been a busy second quarter for the group. For new client wins, we announced a further expansion of the partnership with Heineken across the U.S. market. and welcomed BMW and UniCredit to our client roster. We announced two acquisitions, Pexlify and Extentia, bolstering our customer transformation and technology capabilities. And Dentsu International launched Dentsu Creative. Dentsu Creative will serve as the sole creative network for Dentsu International. Moving to sustainability. Dentsu International was awarded Ecovadis Gold rating, an improvement from silver last year. And Dentsu Digital achieved 3 stars in Eruboshi, awarding the highest ranked company that encourages female diversity as recognized by the Ministry of Health, Labor and Welfare. And finally, industry recognition. We had our most successful showing of account festival of creativity this year, winning Agency of the Year, Regional Network of the Year, a Titanium Award and 3 coveted Grand Prix awards. My deepest congratulations to all our teams involved. Merkle were awarded a leadership position in the Forrester Customer Data Strategy and Activation Wave, a position we are very proud of. Also, Dentsu Group was recognized as a strong performer in Global Marketing Service report. I will now hand over to Soga-san to talk us through the financials.
Yushin Soga: Thank you, Igarashi-san. I would now like to take you through the financial results for the first half of 2022. The group continued its strong performance from Q1 into the second quarter as clients continue to invest in their brands and digital solutions. Net revenues reached ¥260 billion with organic growth rate of over 8% and margins improving by 120 basis points year-on-year on a constant currency basis. Both these figures are excluding the impact from our Russian business. On this slide, you can see the results, including Russia. The second quarter organic growth of 8.2% was driven by clients’ continued investment in customer transformation and technology capabilities, which we saw in both Japan and the international business despite significantly tougher comparables. The rest of the presentation includes the impact from Russia, unless otherwise noted. H1 organic growth was 8.2%, with our operating margin at 17.3%, up 120 basis points year-on-year as we continue to focus on business simplification and lowering our operating costs. Customer Transformation and Technology now accounts for 32.3% of our total revenues. Its growth rate on constant currency basis was 22.5%, demonstrating progress towards our stated strategy of reaching 50% of our revenues over time. Net revenue, underlying operating profit, underlying net profit and statutory net profit in the first half were the record high since listing. Japan, our biggest region with 42% of group net revenue, reported 9% organic growth with strong demand for digital solutions. In the Americas, our second largest region with 28% of group net revenue, organic growth was 11.4%. This region was particularly strong whereby media and CXM across the U.S. and Canada. In EMEA, organic revenue growth was 4.0% including Russia or 7.3%, excluding Russia. CXM growth was over 20% in EMEA in the first half of the year with particularly strong performance from the UK and Germany. In APAC, excluding Japan, organic revenue growth was 4.8%. The Australian market grew almost 10% in the first half with India, Indonesia and Singapore reporting double-digit growth. In Dentsu Japan Network, Dentsu Inc. reported 4.2% growth as advertising across the Japanese market remains steady across the first half. ISID grew over 20%, supported by strong demand from clients for digital transformation. Dentsu Digital grew over 10% in the first half despite 40% comparable from the previous fiscal year. Septeni also grew double-digit, cementing Dentsu’s place as the number one player in digital advertising in the Japanese market. In Dentsu International, Media reported a solid 5.8% growth, driven by strength in the Americas region. In Creative, growth remains somewhat muted, but the successful launch of Dentsu Creative in June should reinvigorate this business in coming quarters. CXM reported 13.6% organic growth in the first half as our clients continue to invest in redefining their connection to consumers through technology and digital transformation. On a constant currency basis, CXM grew 20%, demonstrating a deep execution of our strategy, growing both organically and through acquisition. This slide covers the movement on net revenue on a year-on-year basis. Organic growth is the main reason for the increase, but FX also impacted. The average yen-dollar rate used in the first half of the year was ¥122 to $1. Adding to the currency effect, acquisitions also contributed. Septeni, LiveArea and Ignition Point all contributed to the ¥14.3 billion acquisition revenue. The next slide shows us the group operating margin on a continued upward trend over the past 3 years, demonstrating the impact of our transformation effort to lower our cost base as well as operating leverage on our top line performance. Dentsu Japan Network delivered a strong performance based on a cost reduction. Dentsu International’s margin dipped 50 basis points, including the impact from Russia, which has had a dilutive effect on the margin. Excluding Russia, the margin increased 20 basis points. The next slide shows the movement of underlying operating profit year-on-year, demonstrating revenues growing faster than cost in Japan. Then International costs grew largely in line with revenues as guided at the start of the year. Looking at underlying operating profit to statutory operating profit, the major change during the period was gain on asset sales, which shows an increase from the first quarter as we sold further property assets in Japan in the second quarter in continuing with our strategy of streamlining our balance sheet and reviewing all non-trading assets. The next slide is the reconciliation from underlying to net profit, leading to ¥42.4 billion post adjustments, up over 17% year-on-year. Next is FY 2022 guidance. We see organic growth at up end of 4% to 5%. Consolidated operating margin guidance of 17.7% remains the same. There are 2 moving parts within this. Firstly, Dentsu Japan margin is expected to be higher than forecast at the start of the year due to cost-saving efforts. However, Dentsu International’s margin will be impacted by the performance of the Russian business. The net impact of these changes means we retain our original 17.7% margin guidance. Excluding Russia, the group could deliver a margin of 18.0%. Today, we upgrade our underlying basic EPS forecast by 8.1%, following FX and lower-than-expected tax rate in the international business. In addition, the number of shares is reduced due to the buyback we announced in February. We are pleased to announce, based on our revised full year guidance that the interim dividend will increase to record high ¥7.25 per share based on a 32% payout ratio. Our annual dividend forecast is to be ¥140.5 per share. This payout ratio will continue to increase to 35% by 2024, as stated in our medium-term strategy. We continue to look to increase shareholder returns over time. Now to concluding thoughts. Our first half 2022 performance remained strong, led by our Customer Transformation and Technology division. Underlying operating profit increased almost 20% on a constant currency basis, but over 25% when we include impact from FX. We remain confident in our outlook. Our repositioning as the hybrid agency/consultancy has improved our revenue mix, providing greater revenue resilience. We are very confident on achieving FY ‘22 guidance and medium-term outlook. Thank you.
Hiroshi Igarashi: Thank you, Soga-san. As we look to the second half of the year and into fiscal 2023, there are a number of macro headwinds that remain for the global economy. However, the leading indicator we have for our business is constant conversations with our clients and their spending intentions. It is these conversations that give us confidence in our outlook as well as the repositioning of our business that has been taking place over the past few years. Firstly, customer transformation and technology projects are longer term and critical investment areas for our clients. This reduces the overall cyclicality of our business. It brings additional benefits such as new revenue opportunities, greater C-suite interaction and a greater proportion of recurring revenues through ongoing managed services. Secondly, our services in performance marketing are more closely linked to our clients’ growth than ever before with demonstrable ROI that drives our clients’ top line, and we see clients continuing to invest in their brands to ensure their premium price points. Finally, the transformation the group has undertaken over the past 2 years positions us well for the future, a simplified business with reduced complexity. We have a very strong balance sheet following the sale of non-trading assets, including 18 corporate holdings as well as property assets over the past 18 months. This balance sheet allows us to continue to invest in growth areas regardless of economic trends, growing our revenues in CT&T. Moving to the execution of our strategy, in February 2021, we set out a clear ambition for 50% of our revenues to be generated by customer transformation and technology. We continue to deliver against that strategy, supported by our leading brands, Dentsu Group Digital, ISID and Merkle. In Japan, Ignition Point consolidated from the second quarter grew more than 30% with new client wins and a strong pipeline. Over the past 6 months, the talent within our customer transformation and technology division has increased over 10%. This demonstrates our commitment to the future growth of this area. I am also pleased to welcome two new acquisitions to our business, Pexlify and Extentia. Both businesses are leading sales force partners, and these acquisitions further extend our leadership position over other agencies as we retain our position as Salesforce’s largest global agency partner. These businesses grew 15% and over 50%, respectively, in the second quarter and bring an additional 950 talented employees into the group. We have also continued to deliver against our promise to simplify the business and improve our margins. In Japan, we successfully transitioned over 90% of functional roles from Dentsu Inc. to Dentsu Corporate One, which launched in January. We will continue to consolidate the corporate operations of Dentsu Japan Network to drive more efficiency and specialist service. Brand rationalization of Dentsu International continues with 58% of the brand rationalization complete, and the successful launch of Dentsu Creative saw 5x more inbound new business inquiries post launch compared to the 2 weeks prior to the launch. Finally, we continue to grow and expand our near- and offshore capabilities. This delivery strategy enables Dentsu to leverage the deeply skilled global resources to deliver high-quality advertising, marketing, analytics and technology services to our clients in a cost-effective manner. Already, 12.5% of our staff globally are located in near and offshore locations. Nearshore locations can support regional markets that have specific language and time zone coverage needs and local data privacy requirements. Our offshore centers in India are easily scalable and provide coverage to all English-speaking markets and service lines and have 24-hour coverage. We have a skilled talent base ranging from recent graduates to more seasoned professionals with a short timeframe to recruit, onboard and train. This model drives benefits for clients, our people and our business. For our clients, it delivers high-quality service with a diversity of thoughts and an innovative service model with reduced cost to serve. For our business, we can increase our speed to market with a large talent pool and access to required skills. In conclusion, we continue to deliver against our stated strategy of growing our revenues in customer transformation and technology, shifting our business to become a hybrid agency consultancy. Our improved revenue mix, our deep client relationships, strong balance sheet and the transformation of the group has undertaken over the past 2 years position us well for the future. We retain confidence in our fiscal ‘22 upgraded guidance, achieving the upper end of 4% to 5% organic growth and reiterate our 3-year investment case for CAGR, 4% to 5% organic growth, 18% operating margins and 35% payout ratio by 2024. The outlook for our industry and Dentsu Group remains strong as the group continues to adapt and shift its revenue mix into the faster growth area of the industry, supporting our clients’ growth. Since I took over my CEO in January, I have focused on maximizing corporate value by transforming Dentsu into a B2B2S company. We commit to creating truly sustainable value for our – all our stakeholders, clients, partners, our people and our shareholders. Thank you for listening. I will now hand the microphone back to the host.
A - Masaru Yokota: Thank you. [Operator Instructions] So the first question is from Ms. Fiona Orford-Williams. Please go ahead.
Fiona Orford: Good morning. First of all, on the M&A pipeline, you just completed two very recently. Can you tell us a bit more, please, about the size of your likely acquisitions and pricing environment and the competitive? And my second question is to get some more detail on the near and the offshoring, which is really interesting, the scale that you would want it to be and is there a potential for further moves on that front? Thank you.
Hiroshi Igarashi: Thank you very much, Fiona, for your question. In regards to your first question, in regards to the M&A pipeline and scale and also the pricing environment, I’ll ask Nick to respond.
Nick Priday: Thank you, Igarashi-san and thank you, Fiona, for the question. So our M&A pipeline does remain very active. We are looking at a number of deals. Those deals are pretty scaled generally. We want to make sure we do a smaller number of larger deals than the international itself had done historically to make more strategic impact on our business. The three deals we’ve done on a year-to-date basis really demonstrate our commitment to reach 50% of revenues from customer transformation and technology going forward, because that’s where we see the structural growth in our industry. Pricing is always competitive for these type of assets. They are scarce assets, which are in high demand. I would say that pricing was pretty high 6 months ago. It’s come down a little bit, which does provide an opportunity. But we also always need to make sure that we diligence acquisitions appropriately and don’t overpay. But we obviously have an industrialized process. We’re very used to doing acquisitions, and we will continue to do so to add capability to our business and grow value for shareholders on a go-forward basis. So hopefully that answers your question. Thank you.
Hiroshi Igarashi: Thank you. And in regards to the nearshore and offshore question, please allow me to respond, then I will ask Wendy to follow me up if required. And thank you very much for your attention in this area. Now in regards to nearshore and offshore capability, we are considering achieving scale here to be very important right now. As I explained, in terms of number of employees, 12.5% of our employees through this nearshore/offshore capability, so whether it be nearshore or offshore capability, based on various needs, based on our area strategy as well as to provide efficient service. We certainly have been able to achieve a lot of contribution in that regard. And so this domain is an area with a great expectation from our client’s ability to provide solution going forward and also will contribute towards providing efficient service. So in that regard, we intend to enhance our initiatives in this area. And in regards to more concrete direction, I’d like to ask Wendy to follow.
Wendy Clark: Thank you, Igarashi-san, and thank you, Fiona, for the question. I think it’s actually a question we’re talking to our clients increasingly about. And certainly, as there are increased cost pressures in our business, making sure we’ve got the diversity of capability around the world is crucial for us to have commercial viability and also access to key talent. We do have 7,500 employees right now in about 18 delivery centers. The bulk of those are in India. So over two-thirds of those sit in India and we have line of sight to that number being 10,000 by the end of the year. I think what’s particularly advantageous for us and a competitive advantage is that versus our agency payers, who are in low single digits, you can see that we’re now at 17% of our staff in near and offshore locations. So you can see that this really becomes quite a differentiator for us and certainly in a period where cost becomes more of a focus with our clients, we see a tremendous competitive advantage. Thank you.
Nick Priday: I mean – this is Nick speaking. Just to add a little bit in respect of our functional delivery. It’s not just the client work that we – that can really benefit from our offshore and nearshore capabilities. We do have delivery centers also focused on delivering core competencies across the business functions, across HR, finance, etcetera, allowing us to really make sure we do things the same way once in a consistent manner at scale, so creating more standardized processes across the business. Obviously, that gives us much better transparency, much better control. We use KPIs and scorecards a lot to really help with our margin improvement initiatives, really focusing on the cost-to-serve ratio across our business functions and making sure that’s fit for purpose, delivering with quality service at an appropriate cost. So I just wanted to add to that because I think we look at the offshore delivery centers as being very important to make sure we’re competitive in terms of pricing for clients and making sure we’re efficient, but also helps with the functional agenda as well. Thank you.
Masaru Yokota: Thank you very much. Next question is from Mr. Maeda of SMBC Nikko Securities. Please unmute your microphone. And please give us your name and company name before your question. 
Eiji Maeda: This is Maeda from SMBC Nikko Securities. Thank you for taking my question. I have three questions. I wonder if there is a limit to the number of questions.
Masaru Yokota: Please go ahead with all of your questions, three questions.
Eiji Maeda: Then I will put all of my questions at once. Market remains quite uncertain. In the second half, in the third and the fourth quarters in and outside of Japan, what is the trend of advertising market that you foresee? And subtraction will give us a target for Japanese clients in Japan for the second half of the year, but what are your outlook inside and outside of Japan with regards to client trend in the second half? Next question is on CT&T. It is growing, but particularly in what area are you seeing results? ISID is growing. So I believe that means you have a stronger growth in securities business-related clients, but could you elaborate on this point? And the third question, in the first half, when we look at regional growth and looking at disclosure information of other global agencies, it seems that some – there may be some weakness in some areas according to Publicis. Whereas you have a net win, there are some data that actually shows that there were net losses, including wins and losses. Could you discuss the trend?
Hiroshi Igarashi: Thank you for your question, Mr. Maeda. First, this is Igarashi. I would like to respond to your first question in the uncertainties in advertising market and outlook for the third and the fourth quarter in Japan and outside of Japan. I would like to discuss the overall outlook, and I would like to ask Kuretani-san and Wendy-san to follow up on Japanese market then international market, respectively. As I mentioned in my presentation, there are uncertainties in macroeconomic trends in the second half, as you rightly mentioned. However, this time, we are fully incorporating these uncertainties in our forecast numbers. And so our guidance, if I may repeat, we believe our targets that we are able to achieve a high probability. And we have been implementing a series of initiatives, and we are confident that we are able to achieve the guided figures. Now I would like to ask Kuretani-san to follow me up on Japanese market.
Norihiro Kuretani: Thank you, Igarashi-san. First, regarding the advertisement business, in this area as well, we cannot deny that there still remains uncertainties. However, even despite the seventh wave of COVID infection spike, there are no restrictions on movements, restaurant, leisure industry, people dispatchments and in wealth segments. There are active – there are strong activities, and we believe we see strong trends. In the last year, in the third quarter, because of one-time event of Olympics and Paralympics, we are against a tough comparable. But we believe even in view of that, we are confident of achieving our guided numbers. As for the win rate for the first half with our pitch. As usual, we have been able to maintain a high win rate. As for the second half of the year, regarding one-time events, there is a World Cup soccer. As of February, there was a possibility that Japan may not be able to appear in the World Cup. But since then, Japan indeed won the slot in the World Cup. In comparison to the World Cup, there are world athletic events and table tennis and volleyball Grand Prix series. These one-time sport events, although smaller in size in comparison to World Cup, are also scheduled in the second half of the year. And as Japan business, we expect to achieve the guidance for advertisement business. As for CT&T, in the first half, as you pointed out, ISID was very strong. And in other businesses, including in business design area and in customer experience area, we have seen double-digit growth across the board. And combined, over 15% of growth was achieved, and we believe that momentum will continue into the second half of the year. And Wendy, could you discuss advertisement market and also CT&T trend in international markets.
Wendy Clark: Thank you, Igarashi-san, and thank you, Maeda-san, for the question. If we – to Igarashi-san’s opening comments, we are very close to our clients. That’s one of our strengths. And so having those constant conversations and check-ins, really deeply understanding their business and understanding their categories and their consumers and how they will win is part of our recipe for success. As you know, from our earnings already, we have given guidance that we will now be at the upper end of our guidance. For Dentsu International, that’s the 5% to 6% range. So we’re saying we’re going to be at the upper end of that. That does include any potential drag from Russia that continues, which represented about 1.5 percentage points in Q2 and any potential inflationary impacts. All of that is factored into that guidance. As to the win rate, we’ve had about $1 billion in media wins so far in Dentsu International this year. We have a very strong local conversion rate, and we’ve seen that now convert to regional and super regional wins by the likes of Ferrero, ING and UniCredit. And of course, what’s never reported in those numbers would be expansions with existing clients, where again, back to our closeness with clients is a real strength for us. So our top 20 clients grew 12% in Q2. That’s not going to show up necessarily in any public statements of wins and losses because they are already clients for us, but the likes of Heineken and P&G among them. And so finally, sort of in that consideration and bridging them to the CXM point, Media represents 50% of our business, but of course, the other 50% is in CXM and Creative, CXM now 36% of our revenue. So over third in that important structural growth area, less cyclical more resilient during any potential challenging times. They are in their fifth quarter of double-digit growth, and they are up now 18% over pre-pandemic performance. So, exactly in line with what we would like to see specifically within CXM. The growth areas, commerce and experience is up 20%, B2B is up 30% and our analytics business is up over 20%, so, just to give you a further breakdown on where we see the true expansion?
Norihiro Kuretani: Thank you, Wendy. In the first half, as regards the comparison with the other agencies in terms of win rate, loss rates, does this satisfy your question, Mr. Maeda? Mr. Maeda, does this address all of your questions? If that is the case, we would like to move on to take the next question.
Masaru Yokota: So, I would like to move to the next question and from Mr. Julien Roch from Barclays, please.
Julien Roch: Yes. Good morning everybody. Thank you for taking my question. The first one is on CT&T, 32.3% of your revenue, but how much of your revenue within that is product rather than services, i.e., software solution for clients? And how much of your revenue is recurring, because you mentioned that in your speech, if we could have some idea of how big that is. It’s my first question and for both Japan and international or for Dentsu as a whole. And then the second question is for Wendy. So, you were going from a lot to nine brands, but now you have merged all Creative in Dentsu to Dentsu Creative. So, how many brands do you have left at international? What are they? And what do they do? Thank you.
Hiroshi Igarashi: Thank you very much, Julien, for your question. First, in regards to the CT&T, the revenue breakdown between product and software and the recurring, the – the situation for both in Japan and for international. And so for Japan, I will ask Kuretani-san to respond, and for International, I will ask Nick to respond.
Norihiro Kuretani: And in regards to the CT&T for Japan business, first of all, we currently are not actually disclosing in terms of product or in terms of recurring ratio. But in terms of recurring, sales force integration and operation thereafter, that type of operation, we are maintaining the top class level in Japan. In terms of products, it’s difficult to define product in some sense. But what the ISID is providing, say, for example, HR software or accounting software. So, we have those which are core or something that is closer to digital marketing, so app-like service in social. So, we have quite a varied things that we roll out. And at the moment, how much they account for CT&T. I don’t have those numbers at hand with me. But the profitability of CT&T within our group to work on further enhancing that, I think we are making a lot of contribution towards that. And that is all for me. Thank you.
Nick Priday: Yes. This is Nick speaking. Just answering in respect of Dentsu International. So, as you can see in terms of the Q2 results, just to set the context, CT&T now represents 36% of our revenues for the international business. So, obviously, growing in size and growing quickly as well. If we look at the breakdown of the different component parts of CXM, and Wendy gave an indication of those areas with high growth rates, particularly his experience in commerce and the B2B practice. Merkle used to provide more proprietary solutions. But today, we have moved to more of an implementation model supporting platforms such as Adobe and Salesforce. And I think that Salesforce practice is up 24%. So, it just shows the high-growth area again in some more detail in respect of our CT&T business. I would say overall, the recurring revenue is growing due to ongoing managed services across the network, but we don’t break that down any further, Julien. Thank you.
Hiroshi Igarashi: Thank you. And Wendy, if you could explain about the integration of brand for international business.
Wendy Clark: Yes. Thank you, Igarashi-san. Thank you, Julien, for the call – I mean, for the question. Yes. In September of 2020, we announced that we would go from 160 brands to 6 brands. And we have said that, that would take approximately 2 years or more years. And we have been on that journey and reporting on that, as you know. With the joining of Fred Levron last year in November, one of his observations, and this was really to reignite the creative business. His observation was that we needed to bring together our capabilities into a more powerful and unified horizontal capability in our business. So, we really have repositioned our creative proposition and its horizontal creativity. That means that we deliver creative, not only through our creative agencies, but also through our media agencies and through our CXM agencies. And we really believe this – the network that wants to be the most integrated network in the world. That has to be the case. So, yes, in June this year at Cannes, we launched Dentsu Creative, which was the coming together all of our creative assets. That does, to your point, now mean that we have a single creative asset called Dentsu Creative. I think an early confirmation that, that was a good move was the fact that we won Agency of the Year at Cannes and had Dentsu’s best Cannes ever. So, it is a strong showing for the network there. And as you heard Igarashi-san reference earlier in his remarks, we saw a 5x increase in new business opportunities and engagement following that announcement. We truly believe that we are in step with the market trend. Specifically to your question on how many brands we have now, that now means that from an end-state leadership brand perspective, we would like to have Carat, iProspect and dentsu X and so our media offering, Merkle as our CXM offering and now Dentsu Creative as our creative offering. That represents, obviously, five brands. We also, of course, go to market as Dentsu. In many cases, we integrate the capabilities from those five brands. So, it actually works out to still be six. As we sit here right now, we are sub-100 brands. So, we are on the path to continuing to execute that accelerated transformation plan that we have been reporting on. And we will continue to simplify our business and keep in step with the marketplace that demands speed and efficiency and integration from our services. Thank you.
Masaru Yokota: [Operator Instructions] Next, we have a question from Ishihara-san of Daiwa Securities.
Taro Ishihara: This is Ishihara from Daiwa Securities. Can you hear me?
Hiroshi Igarashi: Yes, we can.
Taro Ishihara: I have two questions, and both are on Dentsu Japan Network and specifically CT&T. This time, the ratio of CT&T in comparison to the previous year has increased by 2.8 percentage points. This rise – can you give a breakdown of the rise in terms of degree of contribution? What company made the largest contribution or what service made a larger contribution within CT&T? Could you elaborate on the businesses within CT&T that made a larger contribution? The second question, in Dentsu Japan Network, CT&T is currently 27.5%, and the target is to grow that ratio to 50% by 2024. And currently, following the organic growth trend, do you believe that this 50% target will be achieved? Or will there be a need of mergers and acquisitions or business investment to achieve this 50% ratio? What will be the initiatives implemented in the medium-term management plan period? So, those are the two questions I have.
Hiroshi Igarashi: Thank you for those questions, Ishihara-san. Both questions will be addressed by Kuretani-san, who is responsible for our Japan business. So, the service and company that had greater contribution in CT&T and the percentage of CT&T, and this is up to 2024 within the medium-term plan. And including organic growth and M&A, the – how 50% target will be achieved, will be addressed by Kuretani-san.
Norihiro Kuretani: Thank you for your question. Within Japan business in CT&T, the companies that made greater contribution include, first and foremost, ISID’s DX business and Dentsu Digital’s DX business and also CX of Dentsu Digital. Starting from the second quarter, Ignition Point is now consolidated in DX service of Ignition Point and DX from Dentsu Consulting. These made larger contributions. As for BX, this is B as in Boston – BX, a, b, c, d, BX. Dentsu Consulting made contribution in terms of BX. And furthermore, within the group, even inside Dentsu Inc., using creativity, there are people who are working on business design. And actually, we have the largest number of people involved in this area. And so Dentsu Inc. itself is also contributing to CT&T. As for the ratio of CT&T to be 50% by 2024, this is the target for Dentsu Group overall, group-wide target. And in Japan, the target was also discussed last time in the last earnings call. We believe we have completed the – laying the foundations for ABCD-X. We do believe we have all of the required services and capabilities, and the remaining task is to increase the scale up to 2024. Regarding the target for Japan business, through organic growth, through increased recruitment and education and training, we believe this is achievable. And beyond that, we will accelerate growth, and we will also enhance service quality. And towards those ends, we are also looking into potential M&A.
Hiroshi Igarashi: For your information, in our medium-term business plan, 50% target of CT&T, to be very precise is that this target is to be achieved in the medium-term, not necessarily at the end of fiscal 2024. But this is a medium-range target.
Masaru Yokota: Thank you. And we would like to proceed to the next question from Mizuho Securities. Kishimoto-san. Please un-mute yourself, state your name, your company’s name and ask your question.
Akitomo Kishimoto: My name is Kishimoto from Mizuho Securities. I hope you can hear me.
Hiroshi Igarashi: Yes, we can hear you.
Akitomo Kishimoto: Thank you very much for the opportunity. I have one question. And your thoughts about operating margin for the next fiscal year. Now, this fiscal year, the guidance remained the same. And of course, the Russian business would have been tough. But when you look at the domestic business, you have a regions cost. And so I think you are above the plan. But for next fiscal year, I understand the range of 17% to 18%. But for domestic, and if you have – you exceed your guidance, then if you are able to maintain that, you should be able to start the year above the level. And for International business, you should be able to overcome some of the impact that you saw, frankly, this year should lead to improvement next year. So, I wanted to get a better understanding about your margin thoughts for the next year.
Hiroshi Igarashi: Thank you very much, Kishimoto-san, for your question, outlook for the operating margin for the next fiscal year. I will ask Soga-san to respond.
Yushin Soga: This is Soga. Thank you very much for your question, Mr. Kishimoto. The basic policy for us is that we will continue to work on improving operating margin. And this group policy remains unchanged. But on the other hand, during 2019 and 2020, we ended up with a quite tough result, as you remember. And upon that, in 2021, we have announced the mid-term management plan. And that was positioned as a restart for us. And so on that plan, we have started. And in 2021 and 2022, we have been able to deliver the growth in our earnings and improvement in operation that we have promised to the market. Now, after we came up with our mid-term management plan, we have seen changes in the macro environment. Of course, the U.S.-China relationship, the Russia-Ukraine issue and the inflation in the Western world, the supply chain issue, we have been overcoming that to try to work on improving operating margin, 17.7% for this fiscal year. At this point in time, we are not thinking of upgrading or downgrading. And the policy for next year, there are a number of uncertainty factors. But we will continue to work on improving the margin. And that is all I can say at this point in time for the Japan business. For Japan business, not just growth, there are some pressures, uncertainties, and the same applies for overseas as well. And so that is to do with the people matter. But we will continue to work on improving margins going forward. Thank you.
Masaru Yokota: Thank you, Mr. Kishimoto for that question. It seems that there are no questions in the queue. So, although it is a bit early, with that, we would like to conclude earnings call by Dentsu Group. Thank you very much for taking your time to participate. And you may now disconnect. Thank you very much.